Operator: Good day, and welcome to the Xcel Energy Second Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Paul Johnson, Vice President, Investor Relations. Please go ahead, sir.
Paul A. Johnson - Xcel Energy, Inc.: Good morning, and welcome to Xcel Energy's 2017 Second Quarter Earnings Release Conference Call. Joining me today are Ben Fowke, Chairman, President, Chief Executive Officer; Bob Frenzel, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer your questions. This morning, we will review our 2017 second quarter results, and also update you on recent business and regulatory developments. Slides that accompany today's call are available on our website. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and in our filings with the SEC. I'd now like to turn the call over to Ben.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thank you, Paul, and good morning, everyone. We are pleased to report solid earnings for the quarter, in line with our expectations. Bob will provide more detail in a regulatory update. That said, we are well-positioned to deliver on our 2017 earnings guidance and remain committed to our long-term outlook. We've made significant progress on our Steel for Fuel initiative this quarter, and are executing on our plan to add almost 3,400 megawatts of new wind to our systems by the end of 2020. Earlier this month, the Minnesota Commission approved our wind proposal to add 1,550 megawatts of new wind generation, which includes 400 megawatts of power purchase agreements, and 1,150 megawatts of new rate-based wind, more than doubling our wind ownership. All projects are expected to be completed by the end of 2020, and will qualify for 100% of the PTC tax benefit. Our Texas, New Mexico proposal to add 1,000 megawatts of self-build wind, and 230 megawatts of Power Purchase Agreements is currently in regulatory review. The proposal has received strong community support, reflecting a significant customer savings and environmental benefits. We expect final decision by the end of the first quarter of 2018. Finally, our 600-megawatt Rush Creek wind project in Colorado is under construction, progressing as planned, and is expected to go into service on time in late 2018. Earlier this month, Colorado Governor, Hickenlooper issued an executive order to reduce greenhouse gas emissions and join other states that have signed onto the U.S. Climate Alliance. We are working with stakeholders to develop and advance the plan that will help Colorado achieve the Governor's goals. We will keep you posted on potential developments. Our Steel for Fuel strategy is about making investments that produce significant savings to our customers, which more than offset the capital costs. Another example of this strategy is our recent proposal in Minnesota and North Dakota to terminate four Power Purchase Agreements. This includes the termination of Fibrominn, Laurentian and Pine Bend PPAs. If approved, these actions would result in capital investment of about $100 million, and provide about $650 million in net cost savings to our customers over the next 10 years. We expect that Minnesota and North Dakota Commissions will review and decide on this valuable customer program before the end of 2017. Providing our customers with reliable energy supply continues to be a company priority and our efforts were once again recognized by the Edison Electric Institute. Last month, EEI presented us with the Emergency Recovery Award for our outstanding restoration efforts after Texas winter storm Jupiter in January. This was the third consecutive year Xcel Energy has received this award. I'm proud of the men and women that deliver for our customers every day on behalf of Xcel Energy. Our employees continually rise to the occasion to provide safe, reliable and affordable energy, frequently under tough conditions with adverse weather and during the holidays when they would prefer to be home with our families. Finally, at Xcel Energy, we're constantly working to integrate new technologies into our operations to enhance public and worker safety, improve efficiency and generate additional savings. A really good example is our recent utilization of drones. We're pioneering the use of drones to inspect project sites, transmission lines, natural gas pipelines, power plant boilers, wind farms and storm damage assessment. We're breaking new ground and have received preliminary approval from the Federal Aviation Administration to fly beyond the line of sight, and this is just another example of striving to deliver on operational excellence. So with that, let me turn the call over to Bob to provide more detail on our financial results and outlook and a regulatory update. Bob?
Robert C. Frenzel - Xcel Energy, Inc.: Thanks, Ben, and good morning, everyone. We realized another solid quarter of earnings of $0.45 per share in 2017, compared with $0.39 per share in 2016. The most significant earnings drivers for the quarter include higher electric and natural gas margins, which increased earnings by $0.07 per share, largely due to the impact of rate increases in non-fuel riders to cover our capital investments, lower effective income tax rate, which increased earnings by $0.02 per share, the lower effective tax rate was mainly due to wind production tax credits which flow back to our customers through a rider or a fuel clause, and lower O&M expenses which increased earnings by $0.02 per share. Offsetting these positive drivers was increased depreciation expense, largely due to capital additions, which reduced earnings per share by $0.05 per share. Turning to sales, on a weather and leap year adjusted basis, our year-to-date electric sales improved 0.8%, reflecting approximately 1% growth in the number of customers across most customer classes and jurisdictions, offset by lower use per customer. Natural gas sales increased 1.7% year-to-date on a weather and leap year adjusted basis with a similar story, continued growth in the number of customers, partially offset by a decline in use per customer. While it's too early to call this a trend, it's nice to see that both year-to-date electric and natural gas sales are growing a bit better than expected. We continue to make progress on managing our costs. Quarter-over-quarter, O&M expenses were $19 million lower, largely driven by timing of planned maintenance at our power plants. On a year-to-date basis, our O&M expense is $10 million lower. We're focused on keeping our cost low, and are on track to deliver flat O&M expenses for the full year. Next, let me provide a quick regulatory update as we've made significant progress during the quarter and continued to execute on our plan. In the second quarter, the Minnesota Commission approved our multi-year electric rate case settlement agreement without modification. This multi-year plan covers 2016 through 2019, and provides the company and customers with revenue and price certainty. It also includes an annual sales true up, and continued use of all existing riders. In Colorado, the commission approved our advanced grid proposal and a decoupling mechanism with some modifications. First, the commission approved our advanced grid settlement. The project includes installing advanced metering infrastructure and communication networks, which will enhance grid reliability, improve the customer experience and enable new programs and rate structures. The settlement spreads the capital investment over a longer timeframe than originally proposed, deferring about $120 million of capital investment beyond our forecast. Second, the commission approved total class revenue decoupling for residential and small commercial customers. The decoupling adjustment will be based on actual sales, which eliminates the impact of weather. The commission modified our decoupling proposal and plan to file for reconsideration of the decision to calculate the decoupling based on class revenue rather than revenue per customer. We also filed rate cases in Wisconsin and Colorado. In Wisconsin, we filed to increase electric rates by $25 million and natural gas rates by $12 million. The filing is based on a 2018 forward test year, a 10% ROE and a 52.5% equity ratio. We anticipate a commission decision in the fourth quarter and final rates to be effective January of 2018. In Colorado, we filed a multi-year natural gas case seeking new revenues of $139 million over three years. The filing is based on a series of forward test years, an ROE of 10% and an equity ratio of 55%. We expect a commission decision and implementation of final rates in February of 2018. We're also planning to file electric cases in Colorado, Texas and New Mexico over the next several months. With that, I'll wrap up. Overall, it was an excellent quarter. We received regulatory approvals for a multi-year electric case in our wind proposals in Minnesota. In Colorado, the commission approved a decoupling mechanism in our advanced grid settlement. We filed proposals with the Minnesota and North Dakota commissions for termination or modification of higher cost PPAs, which will provide significant reductions to customer bills. Finally, we posted strong financial results for the quarter, and are well-positioned to deliver on our 2017 earnings guidance range of $2.25 to $2.35 per share, our 4% to 6% earnings growth objective, and our 5% to 7% dividend growth objective. This concludes our prepared remarks. Operator, we'll now take questions.
Operator: And we'll go first to Ali Agha with SunTrust.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you. Good morning.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Good morning Ali.
Robert C. Frenzel - Xcel Energy, Inc.: Good morning Ali.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Good morning. Ben our Bob, when we go back, your original base CapEx plans 2017 through 2021 was $18.4 billion. So when you look at some of the projects on the wind side that have been approved, you had mentioned some delay or a push out, I should say, on the AMI in Colorado. Net-net, what is that $18.4 billion looking like right now?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes, Ali, we haven't updated our capital guidance based on the updated wind and the effects of AEGIS and other capital impacts. And we expect to do that in normal course as we usually do in the third quarter. (11:28) a few moving parts. I mean, so as said last quarter, you can't expect it to go up the full amount of what's been approved, and we've obviously added the biomass opportunity in there, but there's some moving parts, and as Bob said, we'll have a full updated CapEx forecast third quarter.
Ali Agha - SunTrust Robinson Humphrey, Inc.: And if I just recall from previous disclosures, the incremental new wind projects, if all of them get approved, if I remember correctly, was roughly about $700 million, does that sound right?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes.
Ali Agha - SunTrust Robinson Humphrey, Inc.: And of that, Bob, just to be clear, the ones that you have gotten approved for Minnesota, how much of that $700 million is now officially blessed by the regulators?
Robert C. Frenzel - Xcel Energy, Inc.: Ali, I think that the approval of our 400 megawatts of build-own-transfer wind projects in Minnesota would realize all that $700 million.
Ali Agha - SunTrust Robinson Humphrey, Inc.: I see. So that's all done. And if I heard you right, Bob, you also said, in Colorado, there's about $120 million that has been pushed in outer years on the AMI spend.
Robert C. Frenzel - Xcel Energy, Inc.: That's correct.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. So those are two distinct data points that are incremental. Among the other numbers you were mentioning, at least among those, is there anything else incremental to keep an eye on from our perspective?
Robert C. Frenzel - Xcel Energy, Inc.: No, nothing discreet at this point, Ali. We're just working through the normal process of updating all of our capital plans for all of our operating companies.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Ali, we're also waiting for approval of the SPS 1,000 megawatts, which is approximately $1.5 billion to $1.6 billion of CapEx.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Right, so that's not in there yet. Got it. Second question, the 12-month earned operating ROE, I believe was 8.98%. If my math is right, that reflects roughly about a 60-basis point lag versus authorized. Does that sound about right?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes, how many points did you say?
Ali Agha - SunTrust Robinson Humphrey, Inc.: 60?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes, that's right.
Ali Agha - SunTrust Robinson Humphrey, Inc.: And Bob, is the goal, I mean, given frictional timing issues, et cetera, what's the sort of the theoretical maximum you can push that? Are we pretty close to that right now?
Robert C. Frenzel - Xcel Energy, Inc.: Ali, we've been committed to trying to close the lag in our earn to actual ROEs. We first started talking about this, I think our consolidated allowed was closer to 9.8% and we were earning closer to 8.9%. So we've obviously brought the bottom end of that number up. The top end has come down slightly, our weighted average authorized is closer to 9.6% now. I think in our first quarter call, we provided guidance that we were looking to be in or around where we were last year, and we hope to close that gap sometime in 2018.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. And last question, as you look at these CapEx spending opportunities, and I know you'll scrub it all out and give it to us in Q3, but clearly, the bias is towards more spending in renewable. There seems to be support for that, the wind project, et cetera, you talked about in SPS. So when you put it all together, are you still looking at a 4% to 6% EPS CAGR? Is there some shared issuance dilution that keeps you there, or should we assume that as CapEx is going up mathematically, if shares are not going up, that should cause EPS CAGR to go up as well?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, Ali, this is Ben. We are certainly pleased that we got the approval in Minnesota. We continue to look for opportunities to add new wind. I think the Minnesota Commission is comfortable, if we can bring them good projects to even do more. Still going to get the approval down at SPS. It's a big part of that CapEx upside. So all those things happen, I think we're pushing towards the upper end of our range, and we don't have to issue equity. I think that's important to note. I mean, there's some debt that goes with that, but we don't have to issue equity. So I think we're well-positioned to be at the top of that 4% to 6% guidance range, particularly for this forecast period, but we haven't changed the long-term growth rate at this point.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you.
Operator: We'll go next to Chris Turnure with JPMorgan.
Christopher James Turnure - JPMorgan Securities LLC: Good morning. I wanted to follow up on the SPS wind project approvals. I think in the past, you'd stated that you were hoping to get approval by year-end in both New Mexico – in Texas. And at the very least, you could get recovery of those projects through a general rate case filing, but you would also consider asking for some kind of rider mechanism to get them. Could you just kind of walk us through the specifics of upfront, what you need to hear from both commissions before you greenlight the projects, and when you expect that?
Robert C. Frenzel - Xcel Energy, Inc.: Yes, sure, we can do that. Let me just say, I think, it's going to be more like the first quarter of 2018 for the final approval. We're on the ground, getting a lot of community support, legislative support. I think these projects are very popular for their obvious economic benefits. So this is about a $1.6 billion spend. I believe that increases our rate base and SPS by about 40%. As we know, we've suffered from some pretty significant lag at SPS. So our proposal is that we need concurrent recovery. The benefits are going to flow immediately to our customers. They're going to be significant. We need to get immediate recovery. And I'm cautiously optimistic that we'll get that, and we're going to need to get that. I mean, this is too big of an investment to put into place and suffer the historic lag we typically have. So that's what it's all about and that's what we're working on right now.
Christopher James Turnure - JPMorgan Securities LLC: Okay. And then your conversation so far with the various stakeholders, commissioners, and other interveners, are leading you to positive conclusion so far?
Robert C. Frenzel - Xcel Energy, Inc.: Well, we haven't heard anything that would suggest that we can't work through a settlement, and that would be the ideal outcome. But these things take time.
Christopher James Turnure - JPMorgan Securities LLC: Okay. And then I was pleased to see the announcement of the PPA buyouts today. Relatively small numbers overall in the scheme of things, but certainly attractive opportunity going forward. Are there more of these, what's the magnitude and could you maybe give us a little bit of color on the counter parties there, and maybe why in your opinion they were willing to take upfront cash in exchange for a stream of cash flows over time that they would have otherwise gotten through the PPA?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes, let me just first step back and say, I'm really excited about this. It's not a big capital investment for us, but $650 million of net cost savings, that's pretty significant to our customers. And I think if these all are proved, even after the cost to buy out the projects and all the other things you have to do to get the deals done, I think you're looking at about a 3% rate decrease for our customers, and that's great, and that's consistent with what we're trying to do, is continue to reduce carbon emissions while keeping rates flat and improving the customer experience. I think that's the right mix, and that's the right approach and this is more evidence we can get it done. How many more opportunities are out there? I think that remains to be seen. I don't think there's a ton, to be honest with you, but we're going to continue to look for anything we can do that helps save customers' money and provides us an investment opportunity at the same time. I would say that, what's the rationale for the counterparties to do this, I would look at the Fibrominn plant, which is the largest of the three projects, I mentioned. This was a project that had emerged from bankruptcy. It's always been a project where it's very expensive to the customer, but I think razor thin margins if not worse for the counterparties. So I mean, it's an economic proposition from their end when they do their NPVs and discounted cash flows, and it's obviously positive for our customer. So it's a real win-win for everybody.
Robert C. Frenzel - Xcel Energy, Inc.: Chris, it's Bob. As Ben said, the reason and the rationale for the counterparties is really that the benefit to the customers is the fuel cost. The owners of the assets aren't making significant margins on the assets. The benefit to the customer is to get rid of a significantly high fuel cost that is relatively a pass-through to the other side's owners.
Christopher James Turnure - JPMorgan Securities LLC: Okay. And do you recall the original motivation of the PPA signing from your perspective, or was it part of PRPA or was it something else, RPS, et cetera?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Chris, do you want to take that one? This one dates back quite a ways.
Christopher B. Clark - Xcel Energy, Inc.: Sure. This is Chris Clark, President of NSP-Minnesota. This dates back to the 1994 legislative proposals in Minnesota that allowed us to store spent fuel at our nuclear facility, and required us to enter into 125 megawatts of biomass power purchase agreements. That was later revised to 110 megawatts. So this has quite a history.
Christopher James Turnure - JPMorgan Securities LLC: Okay. Very interesting. Thank you very much.
Operator: We'll go next to Paul Ridzon with KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey, Paul. Good morning.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: The SPS turbines, are they qualified for 100% PTC?
Robert C. Frenzel - Xcel Energy, Inc.: Yes, 100%.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And that's a big chunk of intermittent capacity to drop in the market. Does the existing fleet have the ramping ability to follow that, or is there a follow on opportunity around rapid ramping gas plants?
Benjamin G. S. Fowke - Xcel Energy, Inc.: We believe we can integrate that into our existing system with the existing portfolio of resources. I mean, this is – and obviously when you pencil it out versus firing up gas and coal facilities, it makes economic sense. So we have looked at that very closely, Paul, and believe it works.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And the $1.6 billion, how is that apportioned between the different jurisdictions?
Benjamin G. S. Fowke - Xcel Energy, Inc.: The plants, the wind farms, there's two wind farms, one is 478 megawatts, one is 522 megawatts. You should consider the total capital dollars being split roughly on that ratio.
Robert C. Frenzel - Xcel Energy, Inc.: Well, I think what you're talking about what jurisdictions, Paul. Is that what you mean, percentage?
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Yes.
Robert C. Frenzel - Xcel Energy, Inc.: Let me – give me some help here. I think Texas is about what, 60%?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Texas is about 50%, SPS or New Mexico is about 20%, wholesale is about 30%.
Robert C. Frenzel - Xcel Energy, Inc.: Yeah. So that's how it will be allocated.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And then, New Mexico can be troublesome, my words, not yours. How are the discussions there going?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, again, I think the stakeholder outreach has been incredibly supportive. And that's I think going to be helpful, Paul, as we try to get the concurrent recovery that we need to do this great economic benefit for our customers. We all have to – shareholders have to participate in it too. So again, as I said previously, I'm cautiously optimistic we'll get this over the finish line with the kind of recovery we need to make it successful for all stakeholders.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And if you get to that point, do we need to reshuffle the capital deck and push more projects out, or I mean, I think you have tremendous support for equity, if you need equities projects, given the economics?
Benjamin G. S. Fowke - Xcel Energy, Inc.: I appreciate that support, but at this point, we don't need equity.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Okay. Thank you very much.
Benjamin G. S. Fowke - Xcel Energy, Inc.: All right. Thank you.
Operator: We'll go next to Travis Miller with Morningstar.
Travis Miller - Morningstar, Inc. (Research): Good morning. Thank you.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Hey, Travis.
Travis Miller - Morningstar, Inc. (Research): I was wondering, as you add all these wind farms on and all the capacity here, kind of a follow up to Paul's question, what additional investment do you need that might not already be anticipated? And kind of, if you go back to previous projects you've got, what have you found either in terms of operating costs or capital costs that were needed in addition to the price tag for the actual turbines installation?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. Well, listen, let me take this two ways, I'll answer your question directly. When we price out the economics of these wind farms, we assume any kind of incremental ancillary costs that might be occurred, and I think we do a very good job of realistically looking at that, the additional transmission build-out, et cetera, Travis. Wind is fuel, and hence Steel for Fuel. And I do think that opens up the opportunity to have dialogues with our key stakeholders around the retirement of some of our fossil plants, principally, coal plants. And if you look forward, I think what that does for us is the opportunity to do more Steel for Fuel, and more steel, frankly, as we get beyond this forecast period. I mentioned in my remarks that Governor Hickenlooper issued an executive order in Colorado. I think that's going to create another wave of opportunities for us to add more renewables to the system as we start to look at the potential retirements of some coal plants. But again, this tranche of renewables wind, we can integrate into our system with some ancillary costs, which are baked into the LCOEs that we're quoting to our commissions.
Travis Miller - Morningstar, Inc. (Research): Okay. And at what level do you think you'll start running into some of those integration issues (26:36) percentage of wind or other renewables on the system intermittent?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. So we're going to continue to advance carbon reduction. and we're going to do that with affordability in mind. I think we're uniquely positioned to do that. I'm really pleased to see some of my colleagues are doing the same thing, I think it's the right thing to do. And when we start to get to those next incremental tranches, we start looking I think more at solar and wind, then you have to start looking at potential coal retirements, replacing that with a portion of backup gas, most likely CT, to make sure we have a reliability and other things we need on our system in the ramping capacity. So Travis, that's probably in the 2020s that when we start to really aggressively do that. I am really excited about it. I think the energy future for our jurisdictions is going to be a bright one. I think we can achieve remarkable de-carbonization goals and I think we can do that would affordability in mind, and that's what we're striving to do every single day.
Travis Miller - Morningstar, Inc. (Research): Okay, great. Thanks so much.
Operator: We'll go next to Angie Storozynski with Macquarie.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Good morning.
Angie Storozynski - Macquarie Capital (USA), Inc.: Thank you. Good morning. So what does it mean, concurrent recovery? Is it a rider? Is it a forward text year? How do you envision that for SPS?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, Angie, I think we can be pretty flexible, actually, how we get that concurrent recovery. And there's a number of different – I think we made a suggestion in the filing and we're open to the ideas. But the important thing is that we don't suffer the lag as we traditionally have done. So those settlement discussions are taking place, and there's different pathways we can take to achieve those outcomes. We're not really wedded to anything as long as we get what we need from real-time recovery.
Angie Storozynski - Macquarie Capital (USA), Inc.: And would you need legislative actions in order to get it done?
Benjamin G. S. Fowke - Xcel Energy, Inc.: No.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. And now, so I know that nothing is happening in Washington, but what if there were to be a change in the corporate tax rate, how would it play into your plan for adding renewables? Would you ever consider maybe using tax equity investors to help you monetize the tax benefits of the wind farms?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, I mean, that's a really great question, Angie. While nothing seems to be happening in Washington, we're spending, I know I am, with some of my colleagues, making sure we advocate for the right kind of tax reform if it were to happen, and that basically, we don't believe the trade for 100% capital expense in exchange for non-deductibility of the interest expense is a good trade at all for shareholders or customers. And frankly, we've told them that bonus depreciation isn't a good trade, if that means a higher effective tax rate. And I think, by the way, we've gotten a good traction on that. So I think our industry is being recognized by legislators as unique. Where tax reform goes? I don't know. I mean, I've said that all along when this was all talked about. We'll see where it goes. I think we'll always be opportunistic if things like tax equity makes sense we would look at it, but that's not our plans right now.
Angie Storozynski - Macquarie Capital (USA), Inc.: I'm asking simply because when you calculate the benefits right to the customer, the present value of that benefit is highly dependent on your ability to monetize the tax credits, no? The timeframe over which you can monetize it.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. Well, these projects have a lot of tax benefits associated with them, so the effective tax rate does matter. But even if you stress test this to the max, these projects are still going to be good projects, and I think that's the key. And ultimately, I think as the technology improves, it will continue to be good values in the next when we talk fast forward 10 years from now, I think these technologies, even without tax benefits will compete very nicely with fossil fuel alternatives. So that's always something we have to be aware of and we are. We track it. But right now, I mean, they're deeply in the money for our customers.
Angie Storozynski - Macquarie Capital (USA), Inc.: Great. Thank you.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thank you.
Operator: We'll go next to Joe Zou (31:30) with Avon Capital Advisors.
Andrew Levi - Avon Capital/Millennium Partners: Hey, Ben, it's Andy Levi. How are you doing?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Andy, how are you doing?
Andrew Levi - Avon Capital/Millennium Partners: Good. Very good quarter for you guys, as always. Just very quick, similar question that was asked earlier, and that I've asked in the past. So as it's obvious, you're trending very easily towards, I think you said, and obviously some other callers, I think it was Ali, towards the high end of your 4% to 6% growth rate, I guess it's somewhat, I don't want to say, in the bag. But at what point – and I've asked this on every call over the last couple of quarters, do you really take a look at changing that growth rate, and at the very least, eliminating the low end?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, we'll continue to look at it, and I'm pleased with the progress we've made. We've got some more things to do, Andy. We don't have the SPS wind deals approved. We got to watch and see how some of the rate cases, that Bob mentioned, proceed. So I mean, there are still some moving pieces. I'm comfortable letting you know that we're trending towards the top of that range, and that's what our goal is going to be. And as I said before, so I can't really add anything new to it, we'll continue to look and evaluate what we think our long-term growth rate is. I do agree with you that the actions we've taken and the success we've had so far would probably indicate that there's certainly much more opportunity to hit the 6% than there is risk that will only be at 4%. I hope people can be comfortable with that.
Andrew Levi - Avon Capital/Millennium Partners: And if everything kind of on the regulatory front, kind of goes your way, do you see yourself exceeding the 6%, or is the 6% kind of the max?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, that's the kind of the analysis we have to continue to do. And at this point, we're saying 4% to 6%, Andy. So I think I just got to leave it there.
Andrew Levi - Avon Capital/Millennium Partners: Okay. And then just more of an industry question because kind of looking at what you guys are doing, and then obviously the big AEP announcement as well, and again, just thoughts on a very high level. But clearly, the utilities are being much more aggressive, extremely aggressive in kind of building out their own renewable footprints versus let's say several years ago, PPAs. So what do you think that means for kind of renewable developers, whether, I mean, obviously NextEra has an outstanding renewable business, and is growing in leaps and bounds. So maybe, they're not as effective. But then you have kind of marginal players like AGR and other smaller developers as well. So just kind of your thoughts on, is the market big enough to support them all or do we continue to see this trend whether it's large utilities like yours or Alliant, is another example, kind of just doing it on their own because economics are good and you're able to?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Well, Andy, I guess, I would look at it this way. I mean, I think the overall pie is getting bigger. As renewables compete directly and win on economics versus the more traditional fossil alternative, that's means we're going to have a lot more renewables on the system. And we certainly are, and when I look forward to 2030, we're going to continue to advance smart renewables, large-scale renewables that save customers money. Now, how that happens? I think that depends. I do think NextEra is well-positioned. I mean, they do a good job. There's others that do a good job. But if you notice, even in the megawatts that we're going to own in this – what we talked about with wind, they're some significant component of build-own-transfer. And so I think you're going to see more and more of that from all developers where this is a prime time type of asset to own, and I think utilities are going to want to own these assets, and they're going to be looking to either self build as we've done or contract with developers to own those once they are getting ready to go into service under a build-own-transfer concept. So I think you will see less PPAs. But if the overall pie increases, I'm not sure everybody doesn't have a chance to participate in the market, at least the good ones.
Andrew Levi - Avon Capital/Millennium Partners: Got it. Thank you so much.
Andrew Levi - Avon Capital/Millennium Partners: Thanks Andy.
Operator: We'll go next to Paul Ridzon with KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Thanks for the follow up. Ben, you've obviously been on the forefront of renewable. Where are you with regards to storage and willing to put capital to work there?
Benjamin G. S. Fowke - Xcel Energy, Inc.: You talking like specifically batteries?
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Yes.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yeah. Well, we're continuing to look at how batteries can be deployed on our system, and I think the prices have to come down more on our system. We're relatively low cost compared to other regions of the country. But I think they will come down, Paul, and I think battery technology will play an increasingly bigger role on our system. And you see stuff where renewables compared with batteries have come in at a pretty good price point. You can have some of that. I don't believe that renewables combined with batteries replace CT gas turbines completely. I mean, you still need that 24x7 backup capacity. You still need spinning mass on the system. There's a number of things like that. But I believe that you'll see us when the economics are right, be it ready to deploy batteries. In the meantime, we're doing it on a pilot basis to really understand all the value streams, how they stack up and how this can be a resource going forward. To me, it's not unlike solar where solar was 10 years ago. And as it gets ready for prime time, on our system, we'll look to invest in it.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Maybe prime time on your system a little bit later because you're already in such a good place from a price standpoint?
Benjamin G. S. Fowke - Xcel Energy, Inc.: Yes, I mean, it will be driven by economics, but that said, I see that day coming, so we will be positioned to be there when it's ready.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Great. Thanks again.
Benjamin G. S. Fowke - Xcel Energy, Inc.: Thank you.
Operator: This will conclude today's question-and-answer session. I'd like to turn the call back over to Bob Frenzel, CFO, for closing marks.
Robert C. Frenzel - Xcel Energy, Inc.: Thank you all for participating in our earnings call this morning. Please contact our Investor Relations team with any follow-up questions.
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation. You may now disconnect.